Operator: Greetings, and welcome to the Global Power Equipment Group first quarter financial results conference call. [Operator Instructions] As a reminder, this conference is being recorded. 
 I would now like to turn the conference over to your host, Deborah Pawlowski, Investor Relations for Global Power. Thank you. Ma'am, please go ahead. 
Deborah Pawlowski: Thank you, Brenda, and good morning, everyone. We certainly appreciate your time today for our first quarter 2014 results conference call. I have with me here today Luis Manuel Ramírez, the President, CEO; and Randy Guba, our Chief Financial Officer. Luis and Randy will be reviewing the results of the quarter and will also provide a review of the company's strategy and outlook. If you do not have the slides that accompany our discussion, they can be found along with the earnings release on the company's website at www.globalpower.com.
 The Safe Harbor statement is noted in full on Slide 2. As you may be aware, we may make some forward-looking statements during this discussion, as well as during the Q&A. These statements apply to future events and are subject to risks and uncertainties, as well as other factors, which could cause actual results to differ materially from what was stated here today.
 These risks and uncertainties and other factors are provided in the earnings release, as well as on other documents filed by the company with the Securities and Exchange Commission. These documents can be found at the company's website or at sec.gov.
 So with that, let me turn it over to Luis to begin. Luis? 
Luis Ramirez: Thanks, Deb, and good morning, everyone. As we look at our first quarter 2014 outlook score card for -- on Page 4, you can see that we are really excited about the current direction of our business. Our first quarter of orders and backlog performance was -- were very good, with record Products Solution backlog driven by demand from Electrical Solutions. And we also had solid book-to-bill ratios in both the Product business and the Energy Services business. 
 Revenue also came in as expected, delivering on plan for 2014, down 10% from last year's first quarter, driven by lower outages in the Services side of our business. 
 Gross profit improved, and our service mix was also better. Combined with productivity improvements, we're starting to see the benefits of our Lean programs that we initiated last year, and we're also starting to see a better focus on margin growth in addition to top line growth. 
 Our adjusted EBITDA was also one of the best performances that we've had for a first quarter in a number of years; with strong profit margins, combined with cost disciplines that we initiated last year, it really helped us to drive growth and showing a very good performance in terms of our adjusted EBITDA. 
 If you go to Page 5, you can also see graphically the consolidated revenues for Q1 2014 at $104.9 million and an adjusted EBITDA of $3.7 million versus last year at $1.3 million, so really terrific growth in the margins and also really solid performance in our pipeline for growth for this year. 
 Now I'd like to hand it over to Randy to talk more in detail about our financials. 
Raymond Guba: Thank you, Luis, and good morning, everyone. I'll start on Slide 7, where you can see Product Solutions' first quarter results. Revenue was flat with prior year, as strong demand for our Electrical Solutions was offset by weakness in the Auxiliary Products; which, weakness was anticipated given the current market conditions. The pie chart depicts first quarter revenue broken out by market. The power generation market continues to be the largest revenue source for this segment. However, the aftermarket in oil and gas markets are representing a larger piece of the pie than we saw in 2013. Gross profit was up $3.9 million, and gross margin improved over 1,000 basis points, both benefiting from a more favorable product mix compared with last year's first quarter and productivity improvements, which are ongoing. 
 Now turning to Slide 8, we have Energy Services results. Revenue was down 30%. However, the addition of Hetsco was helping in the gross margin expansion 590 basis points, as well as a modest improvement in gross profit dollars despite the lower volume. 
 Revenue by markets served is shown in the pie chart, and the industrial gas and gas processing portions represent almost 1/2 of the revenue for the quarter. This is a reflection of the contribution from Hetsco, and also illustrates revenue synergy between our traditional businesses and Hetsco. 
 Included in the gas processing slice is about $500,000 of revenue from a project that we traditionally -- that traditionally are our industrial services business was able to take on, because we now have the specialty welding capabilities brought to us with Hetsco. So we're starting to see some nice energies on the top line, which is part of the strategy that we've been talking about. 
 Turning to Slide 9. Nuclear Services revenue was lower due to the continuation of the current nuclear market trend in the U.S. The project mix pie depicts the structure of our contracts, and cost-plus contracts account for nearly all of the work performed during the quarter. Compared to the first quarter of 2013, we had a greater portion of average projects as compared with construction support projects, which are typically at a higher margin. 
 I'd like to point out that this quarter's gross margin reflects the historically normal mix of services performed. 
 On Slide 10, we have a summary of our consolidated results for the first quarter compared with the prior year. Gross profit was up by about $2.5 million despite lower revenue. Gross margin was up by 390 basis points, reflecting a more favorable mix of products sold and services performed, specifically driven by our Product Solutions and Energy Services segments. 
 Operating expenses were flat with the prior year, as acquired SG&A and depreciation and amortization of about $3 million offset the operating expense reductions of our base business resulting from our productivity improvements and cost control initiatives. As a result of these factors we had a breakeven earnings per share in the first quarter, compared with the $0.07 loss per share loss last year. 
 Turning to Slide 11. You can see several metrics demonstrating the strength of our balance sheet. We had nearly $15 million of cash at the end of March. The long-term debt was $25 million. That date representing 8.3% of total capitalization. We borrowed $12 million and repaid $10 million within the quarter. Our cash from operations was $1.6 million for the quarter. We paid $1.5 million back to our shareholders as dividends. Our stockholders' equity was essentially flat at $278 million. Capital expenditures were $800,000 for the quarter. However, we still anticipate 2014 to be in the range of about $10 million. 
 On Slide 12, we are reiterating our 2014 full year guidance, the revenue between $525 million and $550 million. We continue to see stronger power generation in oil and gas markets, which when combined with a full year of revenue from the IBI acquisition, drive our expectation for an improvement in Product Solutions revenue in 2014. 
 The full year contribution from Hetsco is expected to lead to improved Energy Services revenue, and the Nuclear Services business is expected to be impacted by fewer outages in 2014. Driving our expectation, net revenue will be down modestly in that segment year-over-year. 
 We are expecting moderate improvement in our gross margin between 20 and 30 basis points when compared with our 2013 gross margin of 17.6%. And operating expenses as a percentage of revenue are expected to decline by roughly 30 to 40 basis points from the 15.1% in 2013. 
 That concludes my prepared remarks. And with that, I'll turn it back to Luis. 
Luis Ramirez: Thank you very much, Randy. If you turn to Page 14, we can see our backlog here in the first quarter also remained very steady to what we expected. We continue to see new opportunities in our Energy Services segment. We're gaining ground on both new markets and new customers. And as we work together with the other commercial offerings that we do across the organization, we also are anticipating the ability to close some new orders in the coming months that are going to be reflective of the new strategy that we've implemented since last year to build more growth opportunities around solutions selling to our customers. 
 In the Product Solutions piece, you can also see we had strong Q1 orders. We continue to feel a record backlog in that business, both strong demand in product categories, serving the oil and gas segment, as Randy mentioned earlier, and continuing to serve the power generation sectors that exist across the world. 
 Our book-to-bill ratio on Q1 was about 1.3x; again, a very solid performance, and we continue to feel good about that market overall as we see a strong orders proposal pipeline in the process today. 
 Our Nuclear Services backlog reflected the softer nuclear market that Randy mentioned. 64% of that will be expected to convert to revenue in 2014. The book-to-bill ratio was 0.66x in the quarter. And we've also now started to see Fukushima opportunities, as expected, materialize for us in the second half of the year. So we're continuing to see a lot of activity here, and we're continuing to feel a lot of excitement across our commercial structure as we look at the rest of the year. 
 In terms of Page 15, you can see as we continue to look at the progress that we make around the commercial strategy; you'll know -- note that on June 11, we are going to be holding an Investor Meeting in New York, where we have made -- and we'll have all of our business plans and business units leaders out there to talk about their outlook for their business, growth and so on. And you'll also have an opportunity there to see real examples of how we are demonstrating value to our customers, by aligning our products and services along solutions, and also collaborating across those addressable markets that we've identified that are important for our future growth, including the natural gas infrastructure investments. 
 In addition, you'll also hear some of the great work that we're doing with productivity and margin expansion. As we mentioned last year, one of our real goal this year was to continue to support our growth and our capacity to grow through productivity. An improvement that will certainly drop down to the bottom line and also deliver shareholder value. 
 On Page 16, you'll see the priorities for the year remained the same. We've been very consistent, and we want to run a simple play, stable operations, streamlined and efficient processes and providing those value-added solutions to our customers. And at the end of the day, it's all about execution. And so the teams are really focused on providing focused resources to identify not only the opportunities, but also the ways in which we can deliver better, faster and more efficiently to our customers. 
 If you turn to Page 17, you'll see the details once again on our Global Power Investor Day. It's scheduled for Wednesday, June 11, and it will be held in New York City. And you can see -- at the Le Parker Meridien on the third floor. And as I've said earlier, if -- for anybody that's interested that didn't already receive an invitation or wants to participate, please RSVP and contact Kei Advisors, our Investor Relations firm. So that's it for the presentation. 
 Now I'd like to open it up for any questions that you may have. 
Operator: [Operator Instructions] And our first question comes from the line of Jon Braatz with Kansas City Capital. 
Jon Braatz: Your market -- your oil and gas market has been very strong. And it seems like we're hearing the same thing from other companies, yet at the same time, we're also hearing reports that maybe some of their other end markets are softening, or just maybe you'd characterize it as disappointing. Beyond the oil and gas market, what are you seeing out there? Are you seeing any strength at all, or any improvement that you can get excited about? Or is it sort of status quo? 
Luis Ramirez: Jon, that's a great question. One of the things I have been seeing, and we saw this reflected this quarter, we -- as you know, we started to work more along the aftermarket business. One of the focuses of our Product business was to start to develop a stronger focus there. And so we sell parts, and we sell filters and things like that in the POWER-GEN space. And we did see an uptick this quarter in that activity. In fact, we had a couple of months in the quarter where we actually exceeded $1 million in orders in those 2 segments, and that's a very good start. Las year, I think, in the total segment, we reported about a $5 million or $6 million of revenue, and this is really going to bode well. So I'm seeing more flow business, and that certainly could be a result of the harsh winter and the storm -- and the weather here in North America. A lot of people who ran their assets a lot harder, and as you know, there were some issues around the country related to power availability. So that made -- so that -- I think that's boding well. And I also see the industrial retrofit markets continuing to be a place for -- of interest to our business. And we've evaluated some opportunities in the Middle East, and we'll be in a position probably to talk more about that maybe in the coming quarter. And we also have seen some upticks in terms of proposal activity here in North America as well. There's a lot of older natural gas power sites that are approaching 30 years old or more, and they require the auxiliary equipment to be replaced and upgrades made to site. So we are seeing activity there as well. So I'm actually seeing that the flow of business is picking up a little bit more than what we've seen in the last couple of years. So in addition to the oil and gas infrastructure play, I think there's still a very strong opportunity for continuing to go after the industrial side of our business. 
Jon Braatz: Did you -- do you think you saw any negative impact on the oil and gas business because of the harsh winter? 
Luis Ramirez: Not in our space because, as you know, we mostly deal with infrastructure projects there today. And other than not having a site available for delivery or something like that -- a timing issue, obviously, with the weather this year, the road conditions and stuff like that, delays, we didn't see anything that kind of slowed down at this point. In fact, what I've seen is an uptick in proposal activity the last few weeks as well. But that's like the ocean, it comes and goes. So you can't really always depend on that. But we are seeing that, and so we are hopeful that, that continues to be the case for the rest of the year. 
Jon Braatz: One last question. Gross margins were pretty strong in the quarter. And obviously, some of that had to do with mix. But if you would factor out the mix, are you seeing greater progress in some -- in terms of some your Lean initiatives and cost savings initiatives that maybe give you hope that or a belief that gross margins could be even a little bit better by year end than what you're expecting? 
Raymond Guba: Yes. I would say that we're certainly bullish about the opportunities. In terms of the Lean and productivity projects that we have, we've basically suggested that we're expecting to see about a 20- to 30-basis-point pickup from last year, which was at the 17.6% on a consolidated basis. We're on track for that. We think that that's going to continue. But going forward, as we grow the business and we continue with the Lean projects, we would anticipate to be able to see future growth in the margins in the upcoming years. 
Operator: And our next question comes from the line of Chase Jacobson with William Blair. 
Chase Jacobson: 2 questions. First one on the acquisition strategy. I know what you've been saying is that you kind of want to digest the last round of acquisitions before moving forward. It's now been about a year, or just almost a year since IBI. You've restructured the businesses. You're starting to see some of the improvements come through. Can you just talk about where we are in terms of the integrations? And maybe some color on how you're viewing the timing of the next round of acquisitions, or if anything's changed in terms of the markets or geographies that you want to go after? 
Luis Ramirez: Well, great question, Chase. So as you know, we said we would do a slowdown here and get through the restructuring realignment, the new leadership team integrated and so on, for the first half of this year. And that's the way we've planned the year. We haven't really stopped looking for opportunities for acquisitions. We've continued to look for those throughout the process. And we're in the middle right now of updating our long-term growth strategy as it pertains to the new alignment of the business and new leaders that are in place. And over the next couple of months, we're going to continue to work on that, so we can get a new updated set of targets and lists that we're going after. But I'd say that we're still very excited about our opportunities to go -- to grow the business both organically and inorganically. So in addition to acquisitions that we are looking at, we're also looking at partnership opportunities and other global expansion opportunities in the Middle East and other places where we have a big install base, as well. So we're doing both fronts right now. And I expect that by the middle of the year here, when we get the first half behind us, we'll be in a position to start more proactively going after some things that we think are going to add value to the portfolio and also provide us with a stronger set of tool kit to sell the kinds of solutions we want to sell in the natural gas life cycle space. So we're still there. And as we said, we're on schedule. And as long as we continue to deliver what we said we're going to do this year, I feel very good about continuing that process here in the second half. 
Chase Jacobson: Okay. That's very helpful. And one question on -- actually, on your legacy business. On the Products side of your business as it relates to Auxiliary equipment for gas turbines, one of the large ENCs [ph] last night was talking about how they see more than a handful of large gas-fired project opportunities in the U.S. It's -- to me, it was some of the more bullish commentary I've heard on that market in a while, even if it's still project-based. I was just wondering if you are seeing any opportunities to sell into that market over the next 12 or 18 months. 
Luis Ramirez: We're selling there today, as you know. And we have had a few projects get done here in the last couple of quarters where they're going to move forward, and those are there. I do think that there's probably another impact. I think the ruling that we saw last week from the justice -- justices on the EPA ruling around the 28 states and so on, that impacts 28 states in the U.S., including Texas, where we're based. So I suspect that, that will have some influence as well. And I also think the winter that we had this year, it highlighted some weaknesses that are in the system today that we know if we have another -- if you have another tough winter like we did last year, and we have a very hot summer that could be the case. And as you know, there's several parts of the country right now that are going into their second or third year of drought. Those things probably have an influence as well on what might happen. I think that -- I read the reports as well, and I've been studying them pretty -- in detail this last quarter as a part of our process. So I'll give you more perspective in a couple of months when I see what happens. But I can tell you that the orders outside the U.S. continue to be at the same level that we've seen the last couple of years, and that's kind of been the main driver that I've seen for the OEM growth. But I wouldn't be surprised if we see some more projects come off the shelf and back into production. 
Operator: Our next question comes from the line of Bob Labick with CJS Securities. 
Bob Labick: Given all the positive changes you've brought so far in the cross-selling with the acquisitions and then just inherent lumpiness in the business, without giving explicit quarterly guidance, could you give us a sense of the kind of new seasonality of your business? Or how the -- you've said, obviously, Q1 is the weakest. How the balance of the year plays out in terms of just the seasonality that's now in your business so that we can get those expectations aligned? 
Raymond Guba: Yes. Typically, we see second and fourth quarter as being the stronger quarters. I think we're seeing a little bit more of -- in the past years, we had a very, very strong fourth quarter. In fact, the essence of the whole year was in the fourth quarter. We'll probably see less of that going forward. But due to the nature and the timing of outages, we certainly see second and fourth as being our largest quarters -- strongest quarters. 
Bob Labick: Okay. Great. And then on Nuclear Services, are we operating in somewhat of a new normal level? Are current levels depressed? Or are they still falling? How do you characterize the business outlook right there? And can you talk a little bit about the Fukushima work you alluded to? How big is that opportunity? 
Raymond Guba: Yes. We're seeing, I'd say, it's kind of a steady state with Nuclear at this point. We're anticipating -- as you know, we're down a little bit in revenues. We're not expecting a huge amount of growth in that sector. The Fukushima has been some areas of opportunity, but it's not turned out to be as large as I think we initially anticipated. So we are continuing to operate in a fairly steady state there, and don't expect that to change over the next couple of years. 
Bob Labick: Okay. Great. Last one. I'll get back in queue. Obviously, the Products backlog is very strong. Some nice growth there. Could you give us -- could you characterize that backlog maybe a little bit? How it compares to historic business? Is it a higher mix -- a higher margin mix, lower margin? What should we expect there? And then just talk a little bit about future growth opportunities in that business. 
Raymond Guba: Yes. I think that the future growth opportunities there is going to be really tied to the growth in some of the natural gas firepower plants, which we're not seeing on the immediate horizon, as well as some industrial investments, as some industrial plants are being built that require natural gas firepower plants associated with them. We see a variety of mix within that business depending on kind of what the customers are purchasing. So I would say that the margins got a little bit of a pickup this year. This quarter, we could see a little bit of a decline there as well. But we expect, at some point, the backlog is going to start picking up as we start getting some more investment in the -- in some of the power plants. 
Luis Ramirez: I'd say there's also the Electrical Solutions business is part of that segment as well, and we are seeing continued growth there this year and as we anticipated. As long as the infrastructure market build-out continues to happen, we continue to see work. That one's also been exciting for us because one of the things we were doing in that business to help improve our margin performance is we're spending a lot of time also working on efficiency improvements there in a couple of capital projects this year that are going to help to create more capacity, so we can do more in those businesses. So we're pretty excited there as well. I'd say the combination of what's happening in the oil and gas infrastructure build-out and what Randy mentioned on the POWER-GEN side, those 2 things offset each other to a point where we feel pretty good about the Product business continuing to deliver over time a stronger performance in both margin and top line. 
Raymond Guba: Yes. And to that point, the Electrical growth has been high-double digit on the revenue side, so that's being offset by the Auxiliary Products, which has been -- as anticipated, to be down fairly considerably. And net-net, they're even. But -- so there was some good growth on the Electrical side, which we're pretty excited about. 
Operator: And our next question comes from the line of Joe Mondillo with Sidoti. 
Joseph Mondillo: First question, I want to sort of talk about the guidance just a little bit before I get into anything else. It seems like -- especially sort of, I guess, maybe on the gross margin side, it seems like at first glance, that things could be a little conservative. So I was just wondering, is this just a case in point, we're 1 quarter end of the year and maybe you just want to get a little more into the year? Or is there a product mix issue later down the road? Sort of give us a sense on sort of maintaining the guidance here after seeing a pretty good first quarter. 
Raymond Guba: Yes. I guess I would say that first quarter overall is consistent with our year-end performance last year. Obviously, we had some pickup within the business segments that we've articulated. And we do expect to see the 20 or 30 basis points pickup overall. We think that's directionally correct at this point. We'll certainly look again at it as we get further into it. We do have those Lean and productivity initiatives in place that we had baked into those numbers. But we do see the effect of mix as well. And that's why you'll see basically the directional guidance that we're giving. 
Joseph Mondillo: Okay. So I guess, just not to get into it too much deeper, but if you take the midpoint exactly of sales, gross margin and SG&A, you're essentially guiding to down earnings for the year. How do we think about that? And is that correct? 
Raymond Guba: Yes. EBITDA, which was 22 point -- adjusted EBITDA, which was 22.8% last year, we're expecting to grow with the guidance that we're giving you. So if you do the math on the 17.6% baseline and gross profit, and we get 20, 30 basis points pickup there, and then you look at the 15.1% of operating expenses last year, and we reduce that as a percentage of revenue 30 to 40 basis points, you'll see that we're going to a pickup EBITDA. 
Joseph Mondillo: Okay. So essentially, on an EBIT basis, just the additional cost that you're bringing online and everything on an EBIT and an earnings basis, things could be sort of flat to down. Is that what you're saying? 
Raymond Guba: Well, yes. Operating expenses as a percentage of revenue are going to decline. But in real dollars, they go up because you've the acquisitions that bring operating expenses with them. 
Joseph Mondillo: Okay, okay. All right. I guess my next question, just in terms of the reorganization. I'm just trying to get an update or status on sort of where we are with all that. I know you're bringing on sort of a good amount of personnel, and that's sort of wasn't in place, that hopefully drives growth down the road and a lot of the different other things. Where are we in terms of making changes? Is everything sort of in place at this point in time? Or are we expecting another quarter or so before everything's sort of in place? 
Luis Ramirez: No. Joe, I think we were really kind of done with that towards the end of last quarter. We really spent between the middle of last year to around November where the bulk of the changes were made. And then when we came into this year, as you know, when we did our year-end earnings and filed our 10-K, we had a lot of the structure already in place. So we haven't made any changes to the structure and don't anticipate making any changes to the structure for the rest of the year. This is going to be the structure we're going to run with, and the business leaders are making their investments in their businesses. One of my objectives was to keep the overall corporate cost overheads down this year and make a lot more of the personnel investments in the businesses when the businesses need them. So we're pretty pleased with that progress right now. I'd say we're 100% done with the changes that we anticipated making to the business. And now we're just trying to play. 
Joseph Mondillo: Okay. Great. And then I guess, in terms of the Products business, it sounds like on both sides of those 2 businesses within that segment are trending quite well. The orders were pretty good, but they were a little lighter than the last, say, 4 quarters. So I'm just wondering sort of how you look at that. And I guess, from your sort of comments already, it sounds like you're expecting things to continue to sort of pick up throughout the year. So I was just wondering if you could give a little more color on that. 
Luis Ramirez: Yes. It's timing. When people get the orders, it kind of finalizes a lot of work that's done between us and our customers. And so it's really, really been timing. So we're going to be providing more color on orders this year through press releases and other things than what we've typically done in previous years to make sure that you guys are seeing that as well. But we are seeing -- as I've said earlier, we are seeing some more things. And as we've got into this quarter and go forward, we're going to be talking more about those orders and how we're seeing that going forward. 
Joseph Mondillo: Okay. And then just lastly on the Energy Services, I think I might have missed this, but I'm not sure. So I'm sorry if you already covered this, but the sales being down 30%, was that anything weather-related? Or why... 
Luis Ramirez: That was purely -- again, last year, we had a really big project there and also an additional outage. And that's really just -- it was all anticipated. We didn't see any real reduction, if you will, of what we thought was going to happen in the first quarter for that business. And we continue to see the -- when we reset the bar there last year, and we also brought in a new commercial leadership team, one of the things that they've been spending a lot of time with is working with our customers, both for long-term and short-term opportunities. And so they've been filling the GAAP, and we're excited about what they're doing, actually, that we feel like for the first time in a couple of years, we have some expansion opportunities within the U.S. for that business that we haven't been going after. And we've also started to see some more of the Fukushima work that we've mentioned earlier start to show up here for the second half, which is something that we've been waiting for a while on. So we're seeing some good movement there. But what we saw here in the first quarter was pretty much in line with what we thought was going to happen this year based on the number of projects and outages. 
Joseph Mondillo: Okay. And then just a follow-on, and then I'll hop off. The margin of 18%, is that a little higher than sort of the normal that you're expecting? Or is that sort of a normalized going forward? 
Raymond Guba: Yes. I would say that, that is reflective of the Hetsco acquisition, which is coming in, which at that business, by its nature, comes in with a little bit of a higher margin than the previous base business. 
Joseph Mondillo: Okay. And so you acquired that about a year ago though. So that should be... 
Raymond Guba: We didn't have anything in first quarter last year from Hetsco, so we moved forward with the quarter this year with nothing last year. 
Operator: [Operator Instructions] And our next question comes from the line of Martin Malloy with Johnson Rice & Company. 
Martin Malloy: Could you talk a little bit about any potential impact from the GE acquisition of Alstom? GE was 18% of your revenue last year. And do you compete with Alstom on any product lines? 
Luis Ramirez: No. Actually, Alstom is a customer as well. We've done a couple of projects with them over the last couple years. As you know, they have a gas turbine technology that they came into the market a few years ago with, and they also have a steam turbine technology that they sell with a lot of projects in Asia, for example. So we don't see that as -- in the short-term impact at this point. And they are a customer. They have their own platform. So we really don't compete with them in anything that we do. 
Martin Malloy: Okay. And then on GE's conference call for the first quarter, they talked about seeing the orders for the gas turbines, 31 gas turbines in Q1 versus 8 a year ago. When we see data like that, how -- what's the time line between we'd see a pickup there in the orders that they're getting, and when do we see potentially orders coming through for you? 
Luis Ramirez: Martin, when I read that report, what I thought I read was that there were -- there was a big chunk of orders that related to Middle East oil and gas projects. Which we've been talking about for a while. So I think that that's -- and those projects, once they get announced, they usually were in -- with an 18 to 24 months of delivery. So I suspect that those orders start to become relevant more towards end of the year next year and so on. But we've been quoting the business with GE, as you know, and Siemens and others. And so that process continues. But I think that I don't see that reflective of a major shift in the market more than just maybe just timing on orders. But I would have to refer to their report for that. 
Martin Malloy: Okay. And then they also talked on their conference call about their 8 series turbine. Is that -- is there any difference between your ability to sell product for that type of turbine versus others? 
Luis Ramirez: No. I think that product was anticipated to be released here in 2015, and it's their new version of a product that competes very much with the Siemens platform as well, and now Mitsubishi. And I think it's intended to help win back business that -- there's a lot of competition on products. And so that product is coming out. And certainly, we have opportunities to sell auxiliaries with those products as well. 
Martin Malloy: Okay. In terms of the order pickup, you see the real order pickup as maybe 2015 or '16. Is that what I'm hearing? 
Luis Ramirez: Well, I don't know. Again, when I look at the orders or where their happening, I'm seeing still a large chunk of these orders are going to places like Saudi Arabia and North Africa. So I mean, it really depends on what they see. But I would say that it doesn't indicate to me that something has dramatically changed in North America. But as I've always said to all of you, our business is a global business when it comes to POWER-GEN. And we follow the OEMs, and so wherever they're going is where we're going to grow. And so having good orders for the quarter is good for us, but I don't know what that means if it's continuing or not until we start to see that pipeline come to fruition. 
Operator: And it seems that we have no further questions at this time. I'd like to turn the floor back over for any additional remarks. 
Luis Ramirez: Thank you very much. So as you know, we're going to have the Investor Day in June. Again, I encourage all of you to participate and join us at that event. We'll have a much deeper dive by business, all our business plans and what we're doing, not only to grow the top line, but also to improve our efficiency and the bottom line performance. I'm looking forward to seeing all of you in the next few weeks. And thanks very much for joining us today, and have a good day and have a good weekend. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.